Operator: Good day, ladies and gentlemen, and welcome to Verint Systems’ Second Quarter Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference may be recorded. I would now like to introduce your host for today’s conference, Mr. Alan Roden, Senior Vice President of Corporate Development. You may begin.
Alan Roden: Thank you, operator. Good afternoon, everyone, and thank you for joining our conference call today. I’m here with Dan Bodner, Verint’s CEO; and Doug Robinson, Verint’s CFO. Before getting started, I’d like to mention that accompanying our call today is a WebEx with slides. If you’d like to view these slides in real-time during the call, please visit the IR section of our website at verint.com, click on the Investor Relations tab, click on the Webcast link and select today’s conference call. I’d also like to mention, draw your attention to the fact that certain matters discussed on this call may contain forward-looking statements within the meaning of the Private Security Litigation Reform Act of 1995, and other provisions of the Federal Securities Laws. These forward-looking statements are based on management’s current expectations and are not guarantees of future performance. Actual results could differ materially from those expressed in or implied by the forward-looking statements. The forward-looking statements are made as of the date of this call and except as required by law, Verint assumes no obligation to update or revise them. Investors are cautioned not to place undue reliance on these forward-looking statements. For more detailed discussion of these and other risks and uncertainties could cause Verint’s actual results to differ materially from those indicated in the forward-looking statements, please see our Form 10-K for the fiscal year ended January 31, 2019 and other filings we make with the SEC. The financial measures discussed today include non-GAAP measures, as we believe investors focus on those measures in comparing results between periods and among our peer companies. Our financial outlook and targets are provided only on a non-GAAP basis. Please see today’s WebEx slides or earnings release in the Investor Relations section of our website at verint.com for reconciliation of non-GAAP financial measures to GAAP measures. Non-GAAP financial information should not be considered in isolation from, as a substitute for or superior to GAAP financial information, but is included because management believes it provides meaningful and supplemental information regarding our operating results when assessing our business and is useful to investors for informational and comparative purposes. The non-GAAP financial measures the company uses have limitations and may differ from those used by other companies. Now, I’d like to turn the call over to Dan. Dan?
Dan Bodner: Thank you, Alan. Good afternoon, everyone, and thank you for joining us today to review our second quarter and first-half results. Q2 revenue came in at $324 million on a GAAP basis and $331 million on a non-GAAP basis. Excluding the impact of currency, non-GAAP revenue came in at $335 million, reflecting 8.6% year-over-year growth on an – on a constant currency basis. Q2 EPS came in at $0.16 on a GAAP basis and $0.82 on a non-GAAP basis. To understand how we’re tracking against our annual target, I would like to start by reviewing our first-half results, followed by a discussion of our two segments. Looking at our consolidated first-half results, we are pleased to report double-digit revenue growth on a non-GAAP constant currency basis. In the first-half, revenue increased 7.4% on a GAAP basis, 9.2% on a non-GAAP basis and 10.6% on a non-GAAP constant currency basis. In addition to strong revenue growth, we increased non-GAAP EPS 20% year-over-year, consistent with our goal of growing earnings faster than revenue. We’re also pleased to report that we are making very good progress on two key strategic initiatives that we’ve discussed on prior calls. Our Cloud First strategy in Customer Engagement and our software model strategy in Cyber Intelligence. I would like to review our progress in more detail by segment. In Customer Engagement, we’re helping customers to address a very important challenge, reducing their operating costs, while elevating the customer experience. Our strategy is to help customers simplify, automate and modernize their Customer Engagement operations. We help them simplify operations by decoupling the value-add software applications from the communications infrastructure. We help them automate processes by infusing artificial intelligence throughout our portfolio, and we help them modernize their cloud operations by making the cloud migration seamless. Today, I would like to focus on reviewing our strong cloud momentum. At the beginning of the year, we discussed our Cloud First strategy and provided long-term cloud targets. Customers have responded well to our cloud initiatives, and we are seeing the benefits of our Cloud First strategy in our results. In the first-half of the year, Customer Engagement GAAP revenue increased 8.1%. On a non-GAAP revenue, Customer Engagement revenue increased 10.8% and more than 12% on a constant currency basis. We’re pleased with the first-half double-digit growth, which is in line with our annual guidance for this segment. From a mix perspective, in the first-half, cloud represented 25% of our non-GAAP revenue, up from 19% in the first-half of last year. Recurring revenue, which includes both cloud and maintenance, represented 62% of our non-GAAP revenue, up from 59% in the first-half last year. We’re encouraged by the pace of the mix shift, while at the same time achieving double-digit revenue growth. Now let’s look at our cloud trends more closely. In the first-half of the year, our non-GAAP cloud revenue increased 49% year-over-year, with SaaS revenue growing a bit faster. We see improved market adoption with more large customers embracing cloud deployment. We’ve seen this trend manifest itself in two ways. First, new cloud deployments where customers choose to deploy new software in the Verint cloud; and second, conversion of customers’ existing on-premises deployments to the Verint cloud. On past calls, we reviewed the opportunity to convert our installed base with an uplift of at least 2x of maintenance revenue. We also discussed expectations that the uplift would begin to contribute significantly to our revenue growth over the next few years, as more of our large installed base moves to the Verint cloud. During the first-half, we had several customers convert for maintenance to the Verint cloud. And while early, we’re pleased to report that the terms of those deals validated the opportunity for 2x uplift. To better understand our cloud growth, we would like to share ACV data for new SaaS contracts received within the period. In the first-half of the year, new SaaS ACV increased 84% year-over-year, and the last 12 months new SaaS ACV increased 95% year-over-year. As we look forward, we expect new SaaS ACV to increase more than 80% for the full-year. In addition to ACV growth, we’re also pleased to report an increase in the number of cloud deals with TCV of over $1 million, which reflects a higher level of interest in cloud from larger enterprises. In the first-half, we had 11 cloud deals with TCV greater than $1 million, compared to only four in the first-half of last year. The average cloud contract duration approached 2.5 years, a bit longer than the average last year. The large cloud deals we received during the first six months of the year cut across many different verticals and were from existing customers, as well as new customers, including competitive displacements. We see growing cloud adoption in large enterprises across multiple buyers within the same organization, including in the contact center, customer experience, branch, back office and marketing functions. This supports our strategy to help different parts of an organization to collaborate, to drive elevated customer experience, while reducing their operating costs. Turning to our recent M&A activities. Last quarter, we discussed our buy versus build approach and reviewed the ForeSee acquisition, in connection with our strategy to accelerate our Voice of the Customer roadmap. We discussed ForeSee’s low renewal rates at a time of the acquisition and our plan to improve renewal rates with introduction of a new unified VoC platform. A new platform was launched in Q2. It was well received by customers and industry analysts. For example, Ventana Research said, “Verint solutions have always been leading-edge, but the unified VoC solution, providing a complete cross-channel view of the customer is a true innovation.” I’m pleased to share that with the progress we made with integration and with introduction of the new VoC platform, ForeSee’s renewal rates improved in Q2 from their Q1 level, and we expect continued improvement in the second-half. Moving to a more recent acquisition. At the very end of Q2, we made another technology tuck-in acquisition of an innovative cloud company called, Transversal. This is a small company with an annual revenue run rate of around $8 million, breaking even with an impressive technology team. This is another good example of our buy versus build approach, as the acquisition is accelerating the roadmap of our machine learning and artificial intelligence capabilities to better deliver contextual knowledge to both agents and self-service bots. As previously discussed, going forward, we expect to continue providing financial details and discussing the strategic rationale of our acquisitions, even if immaterial to our results. In addition to our strong cloud momentum, we continue to execute well on our automation innovation strategy. During the first-half, our innovation in machine learning, artificial intelligence and robotics was widely recognized by industry analysts. For example, Forrester commented in the – in their recent Conversational Artificial Intelligence Report, Verint’s strong analytics environment standout from the pack. Also, AI Breakthrough, another industry research firm, recognized Verint for innovation and success in artificial intelligence, machine learning platforms, smart robotics, analytics and natural language processing. In summary, we’re very pleased with our first-half Customer Engagement results, reflecting the successful execution of our simplify, automate and modernize strategy, as well as our commitment to innovation. We saw strong momentum in cloud, driven by improved cloud adoption in the enterprise market and strong execution of our Cloud First strategy. Turning to Cyber Intelligence. We are global market leader with a broad portfolio across the Cyber Intelligence, cyber security and physical security markets. Our advanced data mining solutions help customers capture and analyze structured and unstructured data and gain insights that help accelerate security investigations. In the first six months of the year, Cyber Intelligence revenue increased by more than 6%, about 7.5% on a constant currency basis. This revenue growth was accomplished by accelerated margin expansion – sorry, the revenue growth was accompanied by accelerated margin expansion, which I will discuss shortly. In Q2, we continue to win large deals around the world, including an order of approximately $15 million, and four orders with an average size of around $5 million each. We believe this type of large orders reflect our ability to address the market to trends that we have discussed on past calls. First, security threats are becoming more complex. And as a result, security and intelligence organization find it more difficult to detect, investigate and neutralize threats and are seeking new data mining solutions. And second, there is a shortage of data scientists and cyber analysts and security organizations are seeking advanced automation capabilities to perform functions previously performed by humans. With more than 1,000 customers and a large solution portfolio, we’re well positioned to benefit from these trends with both existing and new customers. We continue to expand our customer base, and also pleased to report that we added approximately 50 new customers in the first-half. Over the last few years, we discussed the strategy to shift from an integrated model to a software model to investments in unbundling and prioritizing our data mining software. Historically, large deals sold under the integrated model included the fair amount of pass-through hardware and custom development services, and Verint delivered this professional services in addition to deploying our data mining software. Shifting to a software model. Over the last two years, we have made product investments, enabling our customers and third-party integrators to deliver a third-party hardware themselves and perform some of their customer development using our standard APIs. We believe there are significant benefits to our customers for the software productization, making our software easier to implement and easier to refresh, which is critical in a rapidly evolving technology landscape. Customers have realized that the integrated model, which provides them one stop shop accountability is quite limited in terms of system openness and the ability to quickly deploy software enhancements. The investments we’ve made in the software model create significant benefits to our customers and improve our competitive differentiation. During the first-half, consistent without software model strategy, we saw a reduction in the amount of third-party hardware we pass-through, as well as a reduction in our development services. These reductions came in at a faster pace than originally planned and led to a 6% increase in gross margin year-over-year. Overall, we are pleased with the execution of our software strategy. And excluding pass-through hardware in both periods, Cyber Intelligence segment revenue increased double-digit in the first-half of the year. In summary, we’re pleased with our second quarter and first-half results and the progress we’ve made with our two key strategic initiatives. In the first-half, we increased non-GAAP revenue double digits on a constant currency basis, expanded margins and increased EPS 20% year-over-year. In Customer Engagement, we experienced strong cloud momentum. And in Cyber Intelligence, our software model transition progressed ahead of plan. Now I would like to turn the call over to Doug to discuss our financial results and outlook in more detail. Doug?
Douglas Robinson: Yes. Thanks, Dan. Good afternoon, everyone. Our discussion today will include non-GAAP financial measures. A reconciliation between our GAAP and non-GAAP financial measures is available, as Alan mentioned, in our earnings release and in the IR section of our website. Differences between our GAAP and non-GAAP financial measures include adjustments related to acquisitions, including fair value revenue adjustments, amortization of acquisition-related intangibles, certain other acquisition-related expenses, stock-based compensation, as well as certain other items that can vary significantly in amount and frequency. For certain metrics, it also includes adjustments related to foreign exchange rates. We’re pleased with our strong first-half of fiscal 2020, and I’ll start today by discussing Q2 and first-half and then I’ll discuss our outlook. For Q2 results, follow a very strong Q1 and I’ll review both our Q2 and first-half results to explain where we stand at the midpoint of the year. Starting with Q2. Non-GAAP revenue came in at a bit over $331 million, a 7% year-over-year increase. On a constant currency basis, non-GAAP revenue was $335 million, up 9% over last year’s second quarter. Non-GAAP diluted EPS was $0.82 for Q2, up 8% year-over-year. Our Q2 revenue reflects an acceleration in our Cyber Intelligence software model plan, which resulted in a reduction in our third-party hardware sales, which I’ll discuss later. During the first-half, we achieved strong non-GAAP revenue growth of 9.2% year-over-year and non-GAAP revenue growth on a constant currency basis was 10.6%. Non-GAAP gross margin expanded 250 basis points to 67.4%, driven by the acceleration of our Cyber Intelligence software model. Non-GAAP operating income increased 17% and non-GAAP operating margins improved by 140 basis points from last year’s first-half. Adjusted EBITDA increased 15%, as margins expanded by 120 basis points. Non-GAAP diluted EPS increased 20% year-over-year ahead of our annual guidance of 14%. Now I’d like to review our Q2 and first-half results by segment. In Q2, non-GAAP Customer Engagement revenue increased 8% from last year, or 9% on a constant currency basis. As you look back at our first-half results, I’m pleased to report that non-GAAP revenue increased 11%, which was 12% on a constant currency basis. Non-GAAP recurring revenue increased by nearly 17%. We continue to benefit from high renewal rates for recurring revenue of approximately 90% and strong growth from new contracts. As Dan mentioned earlier, the mix of our business is fundamentally improving, as our non-GAAP recurring revenue represented 62% of total revenue in our Customer Engagement segment during the first-half of fiscal 2020, an increase from 59% in last year’s first-half. The key driver was a strong growth in our non-GAAP cloud revenue with nearly 50% year-over-year. Estimated fully allocated non-GAAP gross margins were up 50 basis points as we had targeted. Our estimated fully allocated adjusted EBITDA margins declined a bit from last year due to the timing of certain expenses. For the year, we expect these margins to be up for the around 28.5%. I’d like to make a few comments about the strong momentum we’re experiencing with our Cloud First strategy. First, the increase in the number of large deals from enterprise customers is an important data point suggesting that large enterprises are starting to adopt cloud faster. As you may know, enterprises move to the cloud at different paces, and we’re helping them make this migration easier. For example, we offer solutions with feature parity across on-premise and SaaS, allowing a seamless user transition. The size and breadth of our enterprise customer base provides significant future growth opportunities as we help them execute their individual cloud strategies. Second, regarding the strong ACV growth, we discussed in prior calls for a while that it has been giving customers quotes for both – we have been giving customer quotes for both on-premise and SaaS solutions. In the first six months of the year, we saw more customers choosing the SaaS option, as evidenced by more than 80% new SaaS ACV growth. We expect this trend to continue and currently expect around 80% ACV growth for the year as well. Now let me turn to Cyber Intelligence. In Q2, non-GAAP Cyber Intelligence revenue increased 7% from last year, or 8% on a constant currency basis. As we look back on our Cyber Intelligence segment for the first-half of the year, I’m pleased to report that non-GAAP Cyber Intelligence revenue increased 6% year-over-year, or 7.5% on a constant currency basis, while at the same time accelerating our software model plan. As Dan discussed earlier, over the last two years, we have made product investments, enabling our customers and third-party integrators to deliver third-party hardware themselves and perform some of their custom developments using our standard APIs. During the first-half of fiscal 2020, we executed well on the software model and saw significant reduction in the amount of third-party hardware where we resell. This reduction came in at a faster pace than we really expected and led to a 6% increase in estimated fully allocated gross margin year-over-year ahead of our plan. Overall, this is an important strategic objective and we are pleased to overachieve in the first-half, while driving down our low-margin hardware revenue. As Dan mentioned earlier, excluding pass-through hardware, we experienced double-digit revenue growth in the first-half of the year. As we continued our first-half investments in our software model strategy, our estimated fully allocated adjusted EBITDA margin increased by 420 basis points less than our gross margin expansion. Now turning to the balance sheet. At the end of Q2, we had $466 million of cash and short-term investments, including short-term and long-term restricted cash and investments. We ended the quarter with net debt of $351 million, including long-term restricted cash and investments and excluding discounts and issuance costs, primarily associated with our convertible debt. Year-to-date, cash flow from operations on a GAAP basis was $98 million, down slightly from last year due to the timing of collections and payments. For the full-year, we expect cash from operations to increase over last year. Our net debt to EBITDA ratio is 1.1, and we’re pleased that Moody’s upgraded our corporate debt rating to Ba2 during the quarter due to our continued growth and increased profitability. Turning to our annual guidance. We expect total non-GAAP revenue of $1.375 billion, with a range of plus or minus 2%, reflecting just over 10% growth for the year. From an operating margin perspective, we expect non-GAAP operating margins in fiscal 2020 of approximately 22%. We expect our non-GAAP quarterly interest and other expense, excluding the potential impact of foreign exchange to be approximately $5.6 million. Given volatility in foreign exchange rates, there could be future gains or losses related to balance sheet translations in our future results, which are not included in our guidance. We expect our non-GAAP tax rate to be approximately 9% for the year, reflecting the amount of cash taxes we expect to pay this year. Our cash tax rate is slightly lower than what we were previously guiding to based on lower estimated tax payments we now expect to make across the various entities. Based on these assumptions and assuming approximately 67.7 million average diluted shares outstanding for the year, we’re expecting non-GAAP diluted EPS at the midpoint of our revenue guidance to be approximately $3.65. In addition to our annual guidance, we’d like to provide you with our current view on how the year will progress. In Q3, we expect non-GAAP revenue to be similar to Q2, which is consistent with past years, followed by our usual seasonally strong Q4. We also expect EPS in Q3 to be similar to Q2. And this concludes our prepared remarks. So, operator, can you please open up the lines for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Daniel Ives with Wedbush Securities. Your line is open.
Daniel Ives: Yes, thanks. So can you just talk about on the cloud just maybe how the conversations are changing with customers? And are you starting to see more strategic deals there? And Dan and Doug, maybe you can just talk about like how things are changing in the pipeline from a deal flow perspective and maybe just changes there?
Dan Bodner: Yes, we certainly think that there is a clear change, especially at the enterprise level, which is the majority of our business is enterprise focused. And the conversation is changing from just talking about cloud to actually buying SaaS. We’ve been giving customers quotes both ways for quite sometime, giving them the choice to move to the cloud at their own pace. And we see now more enterprise customers are actually choosing at the end of the sales process that they’re choosing the SaaS option. And I think it’s primarily because of things we’ve done to make it seamless for them. Doug mentioned feature parity, which is an important consideration for customers who want to move on-prem to cloud that they can maintain the same functionality without retrain users. And it’s the overall cloud security that we offer and global deployments that we offer. We have now a pretty scalable cloud operations. We’re expecting to finish the year with ARR approaching $250 million. We have several cloud partners. And one of the largest partner is AWS, and we are one of the top 100 partners of AWS. So we are scaling our infrastructure, which help us also to provide better pricing, better security and make enterprise customers very comfortable with the transition to the cloud. And the evidence is the $11 million deals in H1 versus $4 million in H1 last year and also longer duration of contracts. So these are all things that show us that the trend is real. And we talked about expectation for 80%. growth in new SaaS deals, new SaaS ACV for the year. So we achieved 80% in H1, and we believe we will achieve 80% for the year.
Daniel Ives: Thanks. I’ll go back in the queue.
Operator: Thank you. And our next question comes from Samad Samana with Jefferies. Your line is open.
Samad Samana: Hi, thanks for taking my questions today. I appreciate it. Maybe Dan, one for you first. When you think about the characteristics of the maintenance customers that have moved to SaaS, the early proof points that you have, is there any particular characteristics of those customers? Is there any type of pattern that you’re seeing? I know it’s a small sample set, but what’s leading them to move from maintenance to SaaS early on that you’ve seen that, that might help you as you think about future conversion opportunities? And then I have some follow-up questions.
Dan Bodner: Yes, that’s a good – a very good point. So we – first, we would say early, so we have a handful of data points and important for us was to continue to validate that the 2x uplift is not only something that we target, but also it provides benefits to our customers. So it’s a win-win arrangement, where they save a lot of money on their internal data center and internal operations by moving the cloud operation into the Verint cloud and I think that has been validated. We also see that customers as they move on-prem deployment to the cloud, typically also interested in expansion, either expansion of their solution or actually adding more solutions. So it’s a good inflection point for us to discussing the customers something that is more strategic than just saving some money on changing the deployment to the cloud. We believe that we’ll see in the future the move to the cloud by enterprises as a strategic decision, and one that can help us do all in addition to the uplift to continue our land and expand strategy with these customers.
Samad Samana: Great. And then, Doug, if I could ask some follow-up questions. So the acquisition of Transversal, it’s – I know it’s immaterial in terms of the overall size. But how should we think about whether that business was growing? And then, if I think about just $8 million, does that imply that the – that there’s $8 million lower in the core guidance, just maybe help me think about the impact of that and how that’s factored into numbers? And if outside of FX, the company would still be on track on an organic basis to hit the targets that you’ve set out for the year?
Douglas Robinson: Yes, sure. Yes, Transversal was a very small acquisition. It was primarily technology oriented. They had some nice technology wanting to combine with ours. So we didn’t really look like – look at that as kind of a run rate continuing business as much as we just wanted the kind of the co to get to book with ours. It’s a million or two a quarter, kind of offsetting some of the FX headwind, if you will, so not really additive to Verint overall.
Samad Samana: Okay, great. And then just one more, if you’ll indulge me. I was just looking at non-GAAP cloud revenue. And I think based on the July Investor Presentation you guys had put out, I think there is maybe a slight quarter-over-quarter dollar decline from 1Q to 2Q. I’m curious if that was just in the managed services piece, or if that was in core SaaS, maybe I think you can just help us understand how those two pieces look this quarter as well?
Dan Bodner: Yes. So when you look at cloud revenue growth, the growth comes from a combination of renewal rates of existing accounts and new deals, right? So obviously, we have very strong new deals and we also have strong renewals, we talked about 90% renewal. But you also remember that we discussed that the ForeSee renewals in Q1 were in the 50s. And while we improve them in Q2, they’re still well below our average renewal rate as expected. We are working hard on improving the renewal rates in ForeSee and that’s coming – that’s going to come with the introduction of our VoC platform, which is going very well. But definitely, there is an impact on the sequential growth until we can get the renewal rates to our average. And when you look at the new SaaS deals, new SaaS ACV, while it’s growing 80%, when you get a $11 million deals, the time between the bookings and the revenue is longer on bigger deals. So that’s also a little bit of a lag between the booking and the revenue. So overall, we see the cloud revenue continue to grow in Q3 and Q4. And as I mentioned earlier, we see the year ending with about 40% growth in revenue, and ARR – the Q4 ARR would be approaching $250 million.
Samad Samana: Great. And just one last housekeeping question. So the new SaaS ACV, does that include maintenance conversions that contract for SaaS? Is that in the new ACV bucket as well?
Dan Bodner: Yes. We do include that, because there are new SaaS contracts. But there were again a small number so far. They should become a bigger number over time, but they will – yes, they will be included and they will drive this hopefully to a much larger growth rate.
Samad Samana: Great. Thanks, again, for taking my questions. I really appreciate it.
Dan Bodner: Sure.
Operator: Thank you. And we have a question, a follow-up from Daniel Ives with Wedbush Securities. Your line is open.
Daniel Ives: Yes, just one last question. Can you may be just talk about hiring plans on the Salesforce just given on the cloud side and maybe some of the hiring plans there? Thanks.
Dan Bodner: Yes. So if you take a closer look at our first-half, you can see that our OpEx investments actually were substantial in H1. This is a head of growth that we expect in H2. So in terms of hiring and growth and investments, we basically have done that in H1. We believe that’s going to drive the growth in H2. The mix between H1 as well as 2 is pretty good. The overall number for Customer Engagement, we did $434 million in the first-half, that’s 48.2% of the year. So that’s pretty consistent with the 48.52% that we had in prior years. So we think that we are pretty good on the investment we made in H1. And if we consider more investments, it will be towards the end of the year towards growth next year. But we’re not expecting headcount growth in H2.
Daniel Ives: Great. Thanks.
Dan Bodner: Sure, Dan.
Operator: Thank you. And our next question comes from Hugh Cunningham with Opp Co. Your line is open.
Hugh Cunningham: Hi, guys, thanks for taking my question. First one is relatively simple. This is on the Cyber Intelligence side. So excluding the hardware, you’re saying revenue there grew double digits, which is very encouraging. And I’m trying to understand what you’re seeing in that market. And specifically, what you’re seeing in sort of the important markets, emerging markets, markets leverage to commodities, et cetera?
Dan Bodner: Yes, clear. So let me first just address the hardware. So to be clear why we are – why we gave this metric of excluding hardware, that’s because we’re intentionally driving this hardware pass-through down. This is in the making for a couple of years and we now see acceleration, and we really happy about it. But it’s obviously a decline year-over-year. Actually, the number, excluding hardware in H1 this year and last year will be 12% growth. So we’re happy that the portfolio overall, excluding hardware is growing 12% in H1. Now putting that into perspective of the macro environment, so we clearly hear from customers that the need for advanced data mining solution is strong. And government agencies across the globe are really looking for new advanced technology to help them combat crime and terror. And the challenges are big and the security threats are increasing and the need for technology is certainly there. Obviously, there’ll be a question about emerging markets and still more and so forth is, in order to be able to buy, they need to be able to keep their funding. And there is a changing economic environment that can impact spending. But I can say that, at this point, we have not seen any evidence that budget has been negatively impacted across the globe.
Hugh Cunningham: On that same point on Cyber Intelligence, Dan, the – do you have any sort of sense for and you may have said this, I just forget, where margins can get to in that business, if you get hardware revenue down to where you want it, or how far down can you get it basically?
Dan Bodner: Yes, yes, absolutely. So the hardware, specifically, the hardware was 10% last year and we expect it to be certainly less than 5% on a – in the long-term model. But in addition to hardware reduction, which we are achieving ahead of plan, we’re also trying to see the benefits from development services reduction. So that customers that need to develop some customized software, they can do it with APIs, they don’t have to ask Verint to do it for them. And that’s also another trend of reduction in development services. So overall, if you look at last year, 25% of our total revenue in Cyber came from professional services, which includes hardware, include development services and include implementation services, but that was 25%. The target we gave – the three-year targets we gave last quarter is that by fiscal 2022, our three-year target, we expect this 25% to come down to 15%, 1-5%, 15% of our total revenue. So that’s a 10% reduction, that will increase our gross margin to about 70%. So we see our cyber businesses as a growing business with a 70% gross margin software model. We’re also starting to see more subscriptions. So the recurring part of the business is growing. And we think these are all very good trends that not only benefit the Verint financial model, but as we discussed, also customers see benefits from being able to buy more standard software and get as much faster refresh cycle that they need in order to keep their software current.
Hugh Cunningham: Sure. Thank you. One last question on CE, Dan. Just sort of a big picture question. One of the questions we’re getting fairly frequently is about what happens if the economy turns down or some sort of confusing signs out there in the marketplace right now. Our sense is that with your investments in things like machine learning and artificial intelligence, and this your new announcement of this Voice of the Customer platform, these sort of things sort of decouple you or give you some immunity from a downturn in the macro economy. And in fact, as your customers start to respond to a slowing economy, that may generate more business for you. Can you talk about how you look at it?
Dan Bodner: Yes. I think that – you kind of sum it very well, because our whole existence in Customer Engagement is really to help customers reduce operating costs. This is all we do. What – well, we hear from customers that they don’t want only to reduce costs, they want to do it while elevating the customer experience, or at least not see an erosion in the customer experience. So that’s why it has to be with a lot of automation and analytics to make sure that reduction in operating costs does not come at the expense of customer dissatisfaction. But the focus on cost reduction what we’ve seen in the past, when the economy turned down, negative was a very strong focus, because customer service is very dependent on people. And in our estimate, it’s one – more than $1 trillion of spending in the industry on the workforce. So there is typically a focus on, how can we make the workforce more productive? How can we achieve our strategic goal with less cost. And again, just reducing their workforce or shifting their workforce to overseas to low-cost barriers, it’s proven not to do the trick. So technology will be more in demand to allow them to reduce costs, while achieving their strategic objective.
Hugh Cunningham: Thanks for taking my questions, and I appreciate it.
Dan Bodner: Yes. Sure, Hugh.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn the call back to Mr. Alan Roden for any closing remarks.
Alan Roden: Thank you, operator, and thanks, everyone, for joining our call tonight. Have a great evening.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may all disconnect. Everyone, have a great day.